Operator: Good morning everyone and welcome to the Corn Products' 2008 First Quarter Earnings Call. This call is being recorded. At this time I will turn the call over to the Director of Investor Relations Mr. David Prichard. Please go ahead sir.
David Prichard - Vice President of Investor Relations: Thank you operator, and good morning to everyone. Welcome to Corn Products International's conference call to discuss our 2008 first quarter financial results which were issued earlier today. I am Dave Prichard, Vice President of Investor Relations for Corn Products International. Joining me today to lead the call are Sam Scott, our Chairman, President, and Chief Executive Officer; and Cheryl Beebe, our Vice President and Chief Financial Officer. This is an open conference call simultaneously broadcast on our website at www.cornproducts.com. The charts for our presentation this morning can be viewed and downloaded from our website, and they are always available about 60 minutes ahead of our conference calls. Those of you using the website broadcast mode for this conference call are in listen-only mode. Sam Scott and Cheryl Beebe will deliver this morning's presentations and they will indicate as they move from chart to chart. So those of you who are using our slides from the website can easily follow along through the presentations. Now I just shifted to chart 2, which is our agenda. Cheryl Beebe will present the financials for the first quarter with appropriate analysis and flavor. Following that, Sam Scott will comment on our Company's overall performance and recent key developments and then discuss our 2008 earnings guidance and outlook before we move to your questions. I've now gone to chart 3, which is our forward-looking statement. Our comments, within this presentation, may contain forward-looking statements. Actual results could differ materially from those predicted in those forward-looking statements and Corn Products International is under no obligation to update them in the future as or if circumstances change. Additional information concerning factors that could cause actual results to differ materially from those discussed during today's conference call or in this morning's earnings press release can be found in the Company's most recently filed Annual Report on Form 10-K and reports on forms 10-Q and 8-K. Finally, statistical and financial information and reconciliations of non-GAAP numbers from this presentation are also available on our website, at www.cornproducts.com, and as you will see they are also included as an appendix to our slide presentation this morning. With that, I am now pleased to turn the conference call over to our Vice President and Chief Financial Officer, Cheryl Beebe. Cheryl?
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thanks Dave and good morning to everyone. It's great to be able to report our best ever quarterly result. Our business model performed well enabling us through pricing actions and risk management policies to more than offset a large increase in corn cost in the quarter. The key contributors were strong pricing actions and improved product mix in our North and South American businesses, along with favorable currency translations. Given this excellent quarter we have raised our annual EPS guidance, which Sam will discuss during his remarks. Looking at chart 5, the summary income statements for the quarter ended March 31, 2008, we see that net sales increased 22% over last year to a record $931 million. This is the ninth consecutive quarter of net sales growth. Gross profit dollars rose 18% or $27 million to $173 million driven by the strong pricing actions and again better product mix in North and South America. Corn costs rose significantly across the businesses. Energy costs are also up essentially in South America. The gross profit margin of 18.6% was down only slightly from 19.2% last year. Operating expenses increased 17% or about $10 million, reflecting higher compensation related costs and the impact of stronger foreign currencies. However, operating expenses as a percent of net sales was 7.3% lower than 7.6% a year ago. Operating income increased 22% or about $19 million to a record quarterly level of $107 million versus $88 million in 2007. The operating margin of 11.5% in the quarter was essentially unchanged from last year. Net financing costs for the quarter were $7 million, down $2.6 million from last year due to $1.2 million foreign exchange gain, increased capitalized interest cost of $800,000, and higher interest income of $0.5 million. The tax rate was 33.5% compared with 34% last year. Net income and diluted earnings per share each increased 29% in the first quarter to record levels of $64 million and $0.85, respectively, versus last year. Weighted average diluted common shares of outstanding stock of 75.6 were down slightly from last year's 76.2. Turning to chart 6, net sales by geographic segment, we can see all three regions contributed double-digit growth led by South America with 36% increase, or $72 million; Asia Africa was up 30% or $28 million; and North America at 15% or $69 million. Looking now at chart 7, the net sales variance, we see the strong pricing and favorable product mix in North and South America, along with positive currency translations drove the Company's net sales growth. Price product mix accounted for about 88% of the net sales increase in the quarter or $148 million. The net sales increase from the translation of our foreign operations contributed about $48 million or 28% of the net sales increase, while a volume decline of 3.6% had a negative impact of $27 million on sales. Regionally, North America's 15% sales growth consisted of a 16% increase in price product mix, 3% favorable swing in the exchange rate, offset in part by 4% volume drop across the region due primarily to poor weather conditions and the economic softness, which impacted customer takeaway. South America's growth of 36% included 22% improvement in price product mix along with an 18% improvement from stronger currencies. However, volumes also declined about 4%, primarily from reduced takeaway in the Brazilian brewery segment. Asia Africa's net sales growth of 30% came from 30% increase from the stronger pricing actions, volume growth and unfavorable currency translations were slight offsets. Moving to chart 8, operating income by geographic segment, North America was up 23%, or $14 million, to $75 million for an operating margin of 14% versus 13.1% last year. South America's operating income rose 29%, or 7 million, for an operating margin of 11.8% versus 12.5% last year. Brazil and the Southern Cone had strong performances. The Andean region's performance was negatively impacted by expenses related to the startup of an infant food program in Columbia that should become a more positive contributor later in the year. Finally, Asia Africa's operating income of $13 million fell 10%. Pakistan, Thailand, China, and Kenya all posted higher operating income. However, this was more than offset by the decline in South Korea's operating income. Consistent with what we said on our February 5th earnings call, South Korea's challenges are continuing in 2008. Their results in the quarter were significantly impacted by higher corn and ocean freight cost as well as lower volumes. Pricing actions were not enough to overcome these pressures. However, excluding the South Korean shortfall, the division operating income was up a strong 40%. The next chart, number 9, is the estimated source of changes in the diluted EPS for the quarter. Changes from operations are the driver for the record quarter. Margin improvement accounted for about 10%... $0.10, or 53% of the $0.19 change, followed by foreign currency values at $0.06, or 32%. Non-operating changes amounted to $0.03, primarily related to the lower financing costs. Moving to chart 10, the cash flow highlights for the quarter. Cash provided by operating activities doubled to $116 million from last year. The net income increase contributed $14 million with a positive swing in working capital of about $40 million. Investments in the business of $48 million came entirely from capital expenditures which were up from $32 million last year. The higher use of cash for financing activities came primarily from a decrease in debt of $47 million. The last financial chart, number 11, presents the key metrics for the quarter ended March 31st. Debt-to-total capital remains very solid at 23.6%, along with debt-to-EBITDA of 1.2 times. Operating working capital as a percentage of sales was 13.8%, reflecting higher receivables and inventories. Net debt or total debt less cash stood at $414 million at March 31st compared with $471 million a year ago and $474 million at year-end. The company continues to enjoy a strong balance sheet with solid cash flow generation. In summary we're off to a strong start in 2008. Thanks for your attention, and I'll now turn the call over to Sam.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you, Cheryl, and good morning to all. I will briefly comment on our strong 2008 outlook before moving to your questions. I'm now moving to chart 12, our 2008 outlook. Given our strong first quarter, the best ever, and more visibility for the rest of our year, we have raised our 2008 EPS expectation from $2.65... from a range of $2.65 to $2.85 to a new range of $2.90 to $3.15, a 12% to 22% increase versus a record $2.59 in 2007, which included a $0.05 gain from our company's holding in the CME Group. Our new earnings per share range translates to a five-year compounded earnings growth rate of 22% to 24% from the years 2003 through 2008. We expect solid EPS gross growth for the last three quarters of the year in the range of $2.05 to $2.30 based on our revised guidance and versus an actual of last year of $1.93 per share in 2007, which also included $0.05 gain from the company's holding in the CME Group. We see a stronger first half and second half due to anticipated higher raw material costs. Our return on capital employed, a key performance measure for our company, should comfortably exceed our 8.5% minimum target for the second consecutive year. We now believe our net sales should reach $4 billion in 2008 versus $3.4 billion in 2007. We think our business models in North America and internationally are working well in today's unprecedented environment of higher and more volatile cost for corn and other commodities. Our success at navigating through high worldwide corn prices continues to be a business model that allows us to pass through rising corn and other costs in a reasonable period of time and a continuation of tight corn refining utilization in North America. Challenges and opportunities remain in 2008, namely, volume and supply chain cost. All in all, our increase in 2008 guidance incorporates the major upside factors and downside risks that remain in the domestic and international businesses this year. I'm now moving to chart 13, our 2008 outlook by region. North and South America will continue to drive on our higher earnings and net sales for the balance of 2008 as they did last year. Our low double-digit price increases for our U.S. and Canadian book of business, including all types of contracts is the key contributing factor, and better co-product returns should also help our results. And South America should continue on a positive trajectory with record results again this year, including revenues likely to surpass $1 billion for the first time. This growth should be led by a very strong performance in Brazil along with improvements in the Southern Cone. Finally, as we told you on our last call, profitability in the Asia Africa region is expected to fall in 2008. This is due entirely to lower operating incomes in South Korea, a trend that began in the second half of '07 and that we said would continue throughout '08. South Korea's lower performance, however, should not obscure the growth we saw in the first quarter and expect to see for the rest of the year in the other countries in the region, namely, Pakistan, Thailand, China, and Kenya. We are and have been raising prices in South Korea to cover up corn cost escalation. We expect this will have a negative impact on our volumes in that country. In addition, we are taking steps to try to lessen the impact of rising corn and freight cost. As some of you have read, the Corn Refining Association has decided to import its first bulk shipments of GMO Corn into South Korea. As expected there has been some customer pushback on that issue. Chinese imports have recently eased in large part due to the countries apparent security concerns about its own corn and corn-derived food supply. We are also watching this closely. However, it's very early to issue definitive report cards for the region, but we are very focused on fixing our South Korean business. It is a testimony to our Company's geographic and product diversification that we are able to deliver strong results to our shareholders while dealing at the same time with individual country challenges. Let's move to chart 14, our pathway strategy for longer term growth. Our 2008 capital spending budget of about $200 million includes attractive base business growth projects designed to bring incremental sales and earnings in the years ahead as they are completed and started up. Fortunately we can direct more resources of these promising opportunities, because we have a very healthy balance sheet, strong cash flow, and significant investment capacity. Our three strategic focus areas are: first, growing the base corn refining business in faster growing international markets that have higher GDP and per capita income growth rate. Grind and/or finishing channel expansions are in progress, as we said before, in Argentina, Brazil, Columbia, Mexico, Pakistan, and Thailand. While these new modified storage capacities being added in Mexico. Second, we are looking to expand continually into new geographies. And third, developing a larger business in the higher margin broad-based ingredient category through internal development joint venture and alliances and selected acquisitions that we can leverage throughout our worldwide marketing capabilities. For example, we are currently expanding our Specialty Polyols capacity in the U.S., Mexico, and in Brazil. Turning to our final chart, chart number 15. As you saw in our other press release this morning, as the newest example of our ingredient strategy, we are broadening our global sweetener platform with the addition of a high intensity, low calorie, and naturally occurring sweetener derived from the stevia plant. This ingredient which will be marketed under the brand name Enliten, results from a long term agreement we have entered into with Morita Kagaku Kogyo of Japan for an exclusive license of their patented stevia strain, their manufacturing technology and stevia production, along with the global marketing and distribution rights. We think Enliten fits consumers' desires for new low calorie sweetener that tastes good. Beyond our access to Morita's Japanese production, we have committed about $20 million to construct a dedicated stevia plant in Brazil to meet expected growth in customer demand. We will market Enliten in select Latin American, Asian countries where we already... where it's already approved and plan to file regulatory clearance in the U.S. This initiative fits well with our value-added ingredient strategy and expansion of our sweeteners platform. Last year, for example, we acquired a family of sugar-free, reduced calorie Polyols sweeteners in U.S. and in Brazil. We have more work to do, but we are excited about the long-term commercialization prospects for Enliten and look forward to keeping you informed of our progress. Thank you and now we are ready to take your questions. Question And Answer
Operator: Thank you. [Operator Instructions] And we will take our first question from David Driscoll with Citi Investment Research.
David Driscoll - Citigroup: Hi, thanks a lot. Good morning everyone.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Good morning, David, how you are doing?
Cheryl K. Beebe - Vice President and Chief Financial Officer: Hey David.
David Driscoll - Citigroup: Well, first off, congratulations, Sam. This just couldn't seem to be a better ending to conclude a great career. What a fantastic result in the quarter. Some specific questions.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Sure.
David Driscoll - Citigroup: On the guidance, you indicated that you expect the back half 2008 EPS to be weaker than the front half. Can you give us a bit more definition as to why, where will it be weaker? Is it a U.S. specific issue or is it a South America issue?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It's more of a North American issue, David, primarily due to the fact that, as you know, we locked our corn and the corn prices increased through the course of the year. So basically, we expect higher corn costs in the second half than the first. Certainly, that's the major driver, but as a normal rule, we see corn costs even increasing in South America as we go into the second half of the year as well. So it's primarily those issues.
David Driscoll - Citigroup: Okay. Then my second question is when I look at sugar prices or tapioca, do you believe that these prices relative to that of your competing products from the corn refining are causing... is there any switching that's happening away from corn refined products to sugar or tapioca-based products?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: A little bit depending upon where you are, David, but not substantial amounts any place. Not tapioca right now, but depending upon where we are competing with sugar, there may be some instances where it's looked at favorably, but not significant.
David Driscoll - Citigroup: So you would not call that out as an issue with why the volumes were down in South America and in North America?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: No, our volumes were down in North America primarily due to weather, which was horrendous in the first quarter around the world. And as we talked to our customers, we found that that was impacting their business. But secondarily, the economic environment has definitely had an impact on the industrial side of the business. When the economy is as soft as it is, paper and corrugating generally is a precursor to going into the fall and generally a precursor of coming out of it. And we certainly have felt that as our customers; we to talk to them regularly. In South America, what we've seen as the primary impacting factor is the pricing. As we push prices through, we've seen our customers slow down on their takeaway, and we've elected to go more for the price than the volume side of the equation, and it's worked out to our benefit, we think. The second thing is, as you know, and we've talked about it for years, is when the currency strengthens, it impacts the export capabilities that both we and our customers in South America have, in that sense, to hit volumes as well. But those have been the major impacting factors on the volume shortfalls that we talked about.
David Driscoll - Citigroup: If I could just follow up on that, there is a related question here that with $6 corn out there, is $6 corn being fully passed on within your prices in your international markets or do you still have to raise prices in order to bring it up to where the spot market would have corn?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: The guidance that we gave takes into account what we feel. But let me be more specific to the question. Obviously, the $6 corn numbers are relatively high numbers, but we have to pass that through almost immediately in the international businesses. Now there could be a lag of a month or two on it, but it's not going to be a lag of six months, or else we could not give you the kind of guidance we gave you. So we are looking at passing it through. The one place that we've said we are pushing it is Korea, and that we will continue to work on throughout the course of the year. But the other international businesses, we have the strength to be able to get it through in generally relatively fast order.
David Driscoll - Citigroup: Okay. But if I am hearing you correctly, what you are saying is that you have not, in South America specifically Brazil and Argentina, you have not yet fully priced your products commensurate with $6 corn, but you expect to. Is that an accurate statement?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I think what I said, David, is we are passing it through with whatever corn we are buying at the time. So if we are buying $6 corn at the moment, then we will pass it through in the short term. But certainly, we've been buying $6 corn for a while or high $5 corn. So the price increase that's been put into the marketplace which generally reflects pretty close to where we are today.
David Driscoll - Citigroup: That's fantastic. Great answers. Thanks a lot, Sam. Thanks Cheryl.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Take care.
Operator: And next we will move to Heather Jones with BB&T Capital Markets.
Heather Jones - BB&T Capital Markets: Good morning. Great quarter.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Hello Heather.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning.
Heather Jones - BB&T Capital Markets: A couple of questions. Going back to the North American volume issue, understand the weather comments. But we have been reading about weakness in soft drink demand and the food service segment and was wondering have you all seen that or do you not feel like it's that big a factor?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We have seen it certainly, Heather. That's part of the comment on the weather with the soft drink companies. We think that the weather conditions have impacted all of our customers. But certainly the kind of weather we have seen particularly in the Midwest, we felt like we were up in Alaska here. And I mean that definitely is going to have an impact on soft drinks or any beverages other than hot beverages really.
Heather Jones - BB&T Capital Markets: Okay.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: And we are seeing that. We are starting to, with a little bit warmer weather we are seeing, we are starting to see an improvement now.
Heather Jones - BB&T Capital Markets: Okay. So you wouldn't take it simply as increased consumer preference for non-carbonated soft drinks? You think it's more of a weather issue?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It could be a combination of both, but I think certainly the weather has had an impacting factor. We have said right along that these neuterately [ph] sweet and soft drink marketplace is relatively flat. And we think it's flat to up or down a little bit. The up I would like to see, the down may be more realistic. But it's a small down. The big factor I think that's been the case has been the weather.
Heather Jones - BB&T Capital Markets: Okay. And as far as South America, the brewing... weakness in the brewing segment, do you expect that to continue given that prices are likely to remain high? Expect that to continue through the year?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We don't expect to see any further erosion. What we have done is to price it at a level that we feel balances with what we need for the overall profitability of the business. And as a result, we have priced it so that we have lost some intentionally. If we wanted to get it back, we could move our pricing down. But we are holding it where it is because we think that's the appropriate thing to do to deliver the results we have given as guidance.
Heather Jones - BB&T Capital Markets: Okay. Now a couple more questions. This stevia... am I pronouncing that correctly?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: That's correct.
Heather Jones - BB&T Capital Markets: Is that the same product that Cargill is working on in the U.S.?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It's the same name --
Heather Jones - BB&T Capital Markets: With Coke or... I believe.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Same name, it's a different product. We feel this product is a more refined product that Morita has been working on for 30 years. It has less bitter aftertaste than the other stevias in the marketplace. We have contracted growing for it in South America, already have hectors planted. As we said, we have commissioned the plant to be built in Brazil, but it's the same name, slightly different product.
Heather Jones - BB&T Capital Markets: So in... and I apologize if this is afashionative [ph], but is there any limitation to you working on stevia in the North America? I mean does Cargill have a proprietary right to it or --
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Absolutely none, no.
Heather Jones - BB&T Capital Markets: Okay. And then finally, I was wondering if you could update us or if there is any update regarding this lawsuit against Mexico and potential damages if you could just update us on that.
Cheryl K. Beebe - Vice President and Chief Financial Officer: It's... the damages claimed are $288 million, Heather. We continue to go through the judgment phase as we have disclosed in the K. We won the liability side of it, and the judgment phase will be heard later on in the year.
Heather Jones - BB&T Capital Markets: Later on second half, or when?
Cheryl K. Beebe - Vice President and Chief Financial Officer: It could be second half or third.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: In the second... the second half, yes. Third or fourth... we don't have the third half but the...
Cheryl K. Beebe - Vice President and Chief Financial Officer: Let me try to recall --
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We try to pull this year as long as we can, but it's third or fourth quarter, yes.
Heather Jones - BB&T Capital Markets: Okay. All right, thank you and congratulations again.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Operator: [Operator Instructions]. Next, we will move to Christine McCracken with Cleveland Research.
Christine McCracken - Cleveland Research Company: Good morning.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Good morning, Christine.
Christine McCracken - Cleveland Research Company: Just on the new sweetener plant, did you happen to give volumes for that in terms of what you are expecting this to turn out?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: No, we didn't, Christine. We specifically did not give it because it's in the early phases. We are putting a reasonably...- not a small, but a decent-sized plant to Brazil to introduce product into that market. We currently have products available through Morita that we are sampling and working with customers on development work throughout the world. But right now, the product is still going. It is not approved in the U.S. We will file for FDA approval as we move forward. We can sell it in other parts of the world. So we have product available through the Morita operation in Japan. They are currently selling this exact product in Japan. And we did not comment on the volumes, but it is competing with other high intensity sweeteners, except this one is a little different and that it's considered by many from the naturally made ingredient. And we think that over time as we see and get more resonance in the marketplace, we can look at expanding the plant we've announced today.
Christine McCracken - Cleveland Research Company: And relative to that, is it fair to assume that the margins on that product will be well above kind of your traditional high fructose given kind of where margins for other high intensity sweeteners are or --
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We don't have the pricing yet in the marketplace for that product, Christine. However, as we have said in our ingredient strategy, our aim is to obviously surpass the numbers that we've seen in our commodity-based businesses. But we're introducing the product, the sampling is going well, the customers are very interested. But we have yet to price it into the marketplace. But we hope to have pretty good numbers as we go forward with it.
Christine McCracken - Cleveland Research Company: Now, this debate around natural and high fructose has come up this quarter. I am wondering, is this in response to that in any way or is it that you see it as a nice complement to your existing portfolio?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: This has no... we've been working on this for a long time, Christine. This is not something that just came out of the box this quarter. We've been working with Morita and have planted... have been taking the seedlings, growing them in Brazil for over a year right now and have quite a few that we are ready to plant. We've leased land for this. So the operation has nothing to do at all with the comments you just made.
Christine McCracken - Cleveland Research Company: And then just on natural gas, we have seen a pretty big increase here lately. You have I believe less exposure obviously than you've had historically. But are you at all exposed to that or do you have some protection that will limit your exposure?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We've always said we hedge our natural gas requirements before the end of the year whenever we have fixed price business, and that is the case this year. But let me correct one thing you said. We are not less exposed to it in the past, because the boiler at Argo is a natural gas boiler. We had natural gas boilers before. So except for the fact that this one is a bit more efficient, we still have natural gas requirements very similar to what we have had in the past.
Christine McCracken - Cleveland Research Company: So that will come up for renewal at the end of the year just like in corn?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I didn't hear what you said. I'm sorry.
Christine McCracken - Cleveland Research Company: Sorry. It will come up for basically renewal again at the end of the year when you go to...
Cheryl K. Beebe - Vice President and Chief Financial Officer: Christine, you are absolutely right. We are basically annual hedgers. And so when you run though the hedge portfolio that you have, you then go to market.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: But we always look forward as to what we can do. In the natural gas hedge, we have a little bit more time than we can go forward if we need to. And obviously, we monitor that on a constant basis going forward, Christine.
Christine McCracken - Cleveland Research Company: And just a final question then on inventories. You were able to keep those obviously in really good shape, which is... I was surprised given the increases we have seen in corn prices in the light. I'm just wondering, have you changed anything on how you manage that or maybe you can talk to that?
Cheryl K. Beebe - Vice President and Chief Financial Officer: Christine, we have kept a very tight reign on the working capital given this very volatile grain and energy market that we are seeing. Frankly, the operating teams have done an excellent job of managing the working capital. As you can see, we generated positive cash flow. We are sitting on a slightly higher cash balance than what we would normally. And that's because we were expecting to see more volatility and more use going into the working capital area.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I think over the last year, Christine, last couple of years, you can see the changes that have been made in this organization and how we run to make sure that we are managing all the variables as well as you possibly can manage them and making the business model work to our advantage every place around the world that we can. And it's been reflected in some of the numbers you are seeing both on the balance sheet and the numbers you are seeing coming from the operating income of the business.
Christine McCracken - Cleveland Research Company: Okay, and congratulations on the good quarter.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you very much.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thank you.
Operator: And next we'll move to Pablo Zuanic with J.P. Morgan.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning.
Pablo Zuanic - J.P. Morgan: Good morning everyone.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Hi Pablo, how are you doing?
Pablo Zuanic - J.P. Morgan: A couple of questions. On the volume front, what I am trying to understand is it lower volumes when you say reacting to higher prices? Is it because those customers are seeing their sales drop because they are having to pass on the higher sweetener price to your prices? What do see that those customers of yours are switching to other types of sweeteners?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: If you are talking North America, Pablo, it's primarily the fact that the volumes are dropping because the customers are seeing their volumes drop off a little bit. But it's primarily the weather issue and the economic environment we are seeing we believe is causing that drop in North America. In South America, we are seeing some switching and we have elected not to meet it. In some instances, in the brewing industry, they can switch to grits, which is a starch kind of product that we have elected not to go after that volume and chase it based on pricing. We have lost a little bit to some of our competitors, again, that we have elected not to meet the pricing environment that they have put in place to keep our prices in place. But as a result of the model and the strength we have in the regions, in this... particularly in the countries in South America that we talk to, the customers work with us, stay with us and we can push through knowing that we are going to lose a little bit of volume doing so.
Pablo Zuanic - J.P. Morgan: That's helpful. And just on North America, let's wait for the fall of the South Renade [ph], right, and then you start negotiating contracts for '09, we are looking at a forward curve there of $6 plus on corn. Then you have to have a price increase I guess, double-digit price increase for the third year in a row. When do you start getting close to sugar? I mean I understand what's happening with Imperial Sugar in terms of a refinery, but how far are you right now and what one point... how far are we from you sort of seeing the U.S. maybe being able to switch to other sweeteners because HFCS just gets too high?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well we have seen sugar prices in the U.S. go up.
Pablo Zuanic - J.P. Morgan: Right.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: And they are moving higher as we speak. Certainly, we believe... I have said this before that as the commodity sector moves up, I think the overall sugar sector will be part of that because it will be fighting for acreage, particularly in the U.S. where wheat can be grown; sugar beat won't. So we expect that to support it. You are right with respect to the fact that in order to get a $6 number passed through, we have to get substantial price increases in the marketplace. We've told you in the past that we have shifted some of our business, a fair amount of our business to multi year-end grain related. So in those instances that is effectively done. In the marketplace where we have annual contracting to be done in today's environment, we think we can get that through as long as utilizations stay relatively tight.
Pablo Zuanic - J.P. Morgan: That's helpful. And just a follow up, on the capacity front, I mean the argument is that other companies that can switch a particular capacity or a particular process or the production process and can change some of it to ethanol. If the ethanol market were to weaken over the next two years, is there a way to calculate how much of that capacity would come back to sweeteners? I understand that it's more for the wet millers and obvious... it's only for the wet millers that's an issue. But is there a way to calculate that in terms of what would be a capacity effect on the sweetener industry side?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I can answer how to calculate that. We don't have that swing capacity. ADM does and Cargill has a little. So it might be better to ask them that question. But I think what I have said in the past is the only people that can do it would be the corn wet millers, and the corn wet millers are also in the high fructose business. So they would be damaging two businesses as opposed to one. So it doesn't make good business sense to make the swing back. I know there was a concern about that at the beginning of this year when prices on ethanol were low, and it didn't happen at all. We did see as the border opened up, I think there were comments made by some of our competitors that they might swing a little bit back to fructose to be able to accommodate the Mexican market, and I believe they did. But they certainly didn't swing back enough to impact the North American market in it's entirety, and they said they wouldn't. So I don't know how to calculate it, but I think certainly it's something that they could perhaps help you with.
Pablo Zuanic - J.P. Morgan: Yes, that's very helpful. And one last one. Regarding Mexico, would it be fair to say because you already have capacity there and probably... obviously distribution in place that you have an advantage over the other companies that are trying to ship from the U.S. now that the market is growing there or not necessarily? Really, it doesn't make a big difference on the marketing front?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We very much like our position in Mexico. It's a very strong position and we believe that it provides us a very, very good model. This is... Mexico is a representative of our business model and we say works very well for us. So we very much like the position we have there.
Pablo Zuanic - J.P. Morgan: Okay. Thank you, Sam.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Operator: [Operator Instructions]. Next we'll move to Ann Gurkin with Davenport.
Ann Gurkin - Davenport & Company: Good morning.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Good morning Ann.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning Ann.
Ann Gurkin - Davenport & Company: Continuing on with Mexico, can you tell us what your share is now in Mexico?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We never comment on market share, Ann. We talk about share of capacity in country and the share of capacity is probably 55-ish percent, maybe a little bit more than that, 60. And we've said that our volumes are stronger in Mexico than every before. But we never talk about what the actual share of market is.
Ann Gurkin - Davenport & Company: Okay.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: My general counsel doesn't like me to use the road market share ever.
Ann Gurkin - Davenport & Company: Fair enough. In your presentation, you talked about expanding into new geographies. Is that through acquisitions, joint ventures? Can you comment on that a little bit?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: All of the above.
Ann Gurkin - Davenport & Company: All of the above.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We are looking at opportunities, as you know, pretty much from our model if you've tracked us. It generally ends up starting as a venture, a joint venture with a local operator so that we can... we spend a lot of time selecting the right person to partner with. But we generally pick a culture that fits with us, and some of it's knowledgeable of the marketplace we are getting into. But as a normal rule, we have a formula to buy that party out in a 3 to 5 year timeframe. So we generally do it that way, but we have also done acquisitions that we would look at as well in certain areas depending upon the situation.
Ann Gurkin - Davenport & Company: Okay. Some companies are commenting that it's difficult to access freight to move product. Are you having any issues with freight access or inventory build?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: No, not now. We've not seen it and don't expect it. But it is getting tough. I mean you hear on the radio everyday to look... fill up 18-wheelers at over $1000. But we have not had issues at all yet.
Ann Gurkin - Davenport & Company: Okay. And can I get an update on CapEx spending for '08 and the tax rate for '08?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Cheryl wants...
Cheryl K. Beebe - Vice President and Chief Financial Officer: We are still looking at $200 million. We'll update the guidance on CapEx as we go through the year as we see the result. And the second on the tax rate, it's dependent upon the mix. We are currently at 33.5%. I would expect us to be between that and say 35% barring any major changes.
Ann Gurkin - Davenport & Company: Great. That's all I have. Thank you.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you very much.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thank you.
Operator: And Christina McGlone with Deutsche Bank will have our next question.
Christina McGlone - Deutsche Bank North America: Thank you. Sam, you talked about the volume in North America hurt by the weather and I guess the economy. But last quarter we saw volumes drop as well and it looks like high fructose production has been down for the last six months, maybe in the order of 2.5 to 3%. So is there something besides the weather? Going back to Heather's question, is there any sort of demand issue there?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: As I said before, Christina, we have seen volumes on the... in the beverage sector go up and down over the last couple of years. So certainly we have seen numbers that have been relatively flat to off a little bit. And you have commented on it before as have we that we don't expect that to be a gross segment of our business. During the first quarter, my comments were specific to that and they were primarily driven by the issues that I talked about. Last year, our volumes as compared to the prior year were about the same. We were close to flat. I don't have the numbers in front of me right now, but if I remember correctly, they were basically a flat kind of number going in the better part of the year last year. I can't comment on where the customers are specific, and certainly our numbers are not necessarily reflective of the entire marketplace because we have accounts that are different and we have locations that are different. But reflecting what our numbers would say, it's pretty much what I just told you.
Christina McGlone - Deutsche Bank North America: And do you think your volume performance is in line with the industry?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I see no reason for it not to be other than what I just said. I mean we would have 100% of a given plant. If that plan happens to be in a place that is horrible weather conditions, we might be a little off than somebody else. But on average, I would expect it would be reflective of the industry, yes.
Christina McGlone - Deutsche Bank North America: Okay. So I guess over the past six months, if we have a 3 to 4% volume decline and going... and ADM you were swinging to meet Mexico, is utilization still tight or have we seen any slacking there?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Certainly, and in fact we saw a 4% volume decline in the first quarter. That would reflect a little bit of softness in the first quarter. But certainly, the issues as you go forward, I think I have already said that we are seeing volumes pick up. We are talking about an annual volume base, not a quarterly volume base. I would not also say that if we were 4% older in the second quarter, that would reflect anything else either. And there is a seasonality in the business. We do expect to see volume get stronger in the second quarter and then stronger again in the third quarter. So we have to run the cycle. We will see how it shakes out. But I don't see nor have we felt anything in the marketplace that will reflect select any reduction in utilization that would cause more competitiveness there.
Christina McGlone - Deutsche Bank North America: Okay. Just because your volumes fell 3.7% in the fourth quarter too, that's why I am asking because it's two quarters in a row. So that's where the question is coming from.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It's dependent upon what we are talking about as a way of product launch, Christina. We report total volumes, and as I have said in this call and I think I said that time, the industrial side of the business really gets impacted when you have a recession or a slowdown or whatever. And it's a precursor to everything in... since I have been in this business, the industrial side is a precursor to the slowdown. So our industrial business here and around the world has felt the impact of the slowdown. And we have seen volume shortfalls in those areas as well as the fact that in the back end of the last year, we did slow the volumes there and we had inventory management build on our part and our customers' part. So some of our volumes are reflective of co-products. And if our grind was not as high as it had been for managing the inventory, you would see a volume hit there as well. So it's not a high fructose situation only. We are not a high fructose company only. As you look at our volumes around the world, we have said a number of times, fructose represents about 25% of our total... 27% of our total volume. That would have to be... in order for that to impact by itself the entire swing of volume, it would be a major, major situation.
Christina McGlone - Deutsche Bank North America: Okay. Well given that the starch stream and the optimization is so important, I am just curious if there is slack anywhere it doesn't have to be fructose, but in industrial starches. And we are seeing these volume decline. Just in terms of utilization and going back to Pablo's question about your pricing power in '09 given the delta in corn. So you don't see this kind of volume weakness anywhere in the starch stream impacting your ability to price in '09 to recover corn. And then I don't think you answered Pablo's question about the delta versus sugar for next year.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I think I did answer his question saying that we thought there was enough room for us to move the price required to get... to cover $6 corn. I said that.
Christina McGlone - Deutsche Bank North America: Okay.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: And going back to the other piece of the equation, I am not going to tell you how we think we will be able to do in this... in going into '09. But based on your numbers, we were able to do it going into '08. So if we had the shortfall on volumes you talked about, which were reflective of a softer marketplace, I would say that the price increases we got going from '07 to '08 reflected that. And I think what I am saying is that we believe given the marketplace we see right now that we would be able to pass it through going into '09 if it gets... as corn stays where it is and the situation stays as it is today. But back to the volume numbers, we have to see what the volume does throughout the rest of the year because the first quarter was not indicative of a year.
Christina McGlone - Deutsche Bank North America: Okay. And then last question on the stevia product. It seems like you have been working on it for a while, because you've talked in the pres release about contracting for about a year ago with Brazilian growers.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes.
Christina McGlone - Deutsche Bank North America: Is... has it just been researched this whole time? Is there any reason why now you decided to build the plant or this is the time to do it? I am just curious what made you act... take it to the next level right now.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well it has to happen at a point in time, and this was the right time. I mean we have gone through the research we needed. We have gone through the testing that we needed to do. We have gone through the business plan that we needed to be patented or trade mark the name. We are growing the plants in South America today with sampling customers in the market place that have been for the past two months. We have been working with them on formulation for the last few months and we've felt that with today date April 23rd will be the appropriate time to tell the world 22nd April is the right time to tell the world that we were doing it.
Christina McGlone - Deutsche Bank North America: Okay. I am sorry one more. Can you talk about that instant feeding business that you mentioned?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We have a business in Colombia, the name of it is Viesta Arena [ph]. We have worked with the Colombian government for the last five years, contracted with them to run two facilities that they have. We run them in its entirely and supply the raw material to it and the government provides the infants, undernourished and famished infants in Colombia with a nutritionally-based sort of a porridge kind of a product. The contract expired at the end of last year. We renegotiated and have gotten it again for the next. I think it is five or six years over the transition there was an adjustment of inventory that had to be dealt with and we introduced a new formula and a new distribution system that in fact in the first quarter a little bit. We are shaking all of that now. It should be back up and running at the right way, much as it did in the last year, we expect to see that business grow.
Christina McGlone - Deutsche Bank North America: Okay. Thank you.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: You are welcome.
Operator: And next we'll hear from Ken Zaslow with BMO Capital Markets.
Kenneth Zaslow - BMO Capital Markets: Good morning everyone.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Kenny, how are you doing?
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning, Ken.
Kenneth Zaslow - BMO Capital Markets: I guess starting from the beginning a little bit is you revised guidance and you said that there is greater visibility to your outlook. What actually changed?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: The first quarter is behind us.
Kenneth Zaslow - BMO Capital Markets: Yes, but you beat consensus by $0.12 or so cents or $0.15 and you raised guidance by more than that. So there seems to be something else maybe going in or no or are you just saying that the analysts got it wrong?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: No, no, no, no. What we are seeing right now is a situation where we have the pricing has settled out. We know where it is. We can get a better idea as to what's going on with the co-products. We have even with the reduction in volume in the fourth quarter, we... in the first quarter, I'm sorry, we can see where volumes are going, what they are looking like going forward. We see the operations of our facilities running and the cross structures associated with that. And given all of that, we believe... and some of the introduction of some of our capital programs will be coming on later in the year are moving forward the right way. So given all of that, we feel that it's appropriate to give the guidance that we gave today because it reflects what we see in the business.
Kenneth Zaslow - BMO Capital Markets: And in terms of the co-product outlook, can you give us what you are thinking on the co-product outlook and does that... was that a major contribution to this quarter or was it any different than you expected?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It helped out. It was a little better than we expected in that the co-product numbers stayed high. We expect going forward while we have higher price commodities in general that co-products will be very, very strong. As we get into the growing season, we could see both the commodity, the corn and the soybean numbers drop off as if we have a good growing season which would probably impact the co-products to some extent. But we've taken all of that into account as best we can in the forecast we've given you.
Kenneth Zaslow - BMO Capital Markets: When you said the back half of the year is going to be less... lower profitability than... it's going to be more front end weighted, isn't that just a function of the forward-looking curve of corn?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes, that's what we basically said almost over very year.
Kenneth Zaslow - BMO Capital Markets: Yes, okay. Okay. So there is nothing to read through besides that. You buy corn, there is a forward curve and lo and behold corn is more expensive at the back half of the year.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Exactly. When we hedge our corn, you can look at it and you know that it is going to be more expensive in the back-half than the front-half.
Kenneth Zaslow - BMO Capital Markets: Okay it sounds like in terms of acquisitions giving your commentary as well as your debt levels. I know acquisitions have been a part of CPO's growth over time. Is there a greater appetite for acquisitions of late?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I would say greater appetite. I think certainly it's part of our strategy and as we refine the strategy more and more and we identify more specific opportunities, we go after them.
Cheryl K. Beebe - Vice President and Chief Financial Officer: And I think that given the credit markets that exist around the world, I think the strategic buyers have a much better chance of executing than perhaps some of the other buyers that were in the market over the last year or two.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: And that's a very positive point for us.
Kenneth Zaslow - BMO Capital Markets: Okay, and that, I mean it seems again, it sounds like you are moving towards maybe having more opportunities, I guess. It is maybe a better way of saying it.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Ken, I... we think certainly the balance sheet is stronger than it has been for a long time, although it's been getting strong for a while. The market opportunities seem to be there. The strategy is becoming more and more refined as to exactly where we want to place our bets. So we will still scrutinize things very carefully, but we will certainly look at opportunities around the world, both for geographic expansion and for expansion to upgrade the product portfolio more to the higher valued ingredients base.
Kenneth Zaslow - BMO Capital Markets: And two more questions. One is Mexican high fructose corn syrup or U.S high fructose corn syrup being shipped to Mexico. Can you give us the status on that, does that seem like it is going on schedule as you expect and more importantly, has there been any impact on your EPS or earnings?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It's probably going pretty much as we expected, but all I can really comment on is our shipments to Mexico, are they on target, they are. And I think basically the competitors are shipping products down, as we know that's happening.
Cheryl K. Beebe - Vice President and Chief Financial Officer: The other way of saying it is we did not lose position to our competitors.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: But secondly as to EPS, I mean, the numbers reflect what happened. I mean we had a pretty good first quarter. So I think that the numbers speak for themselves.
Kenneth Zaslow - BMO Capital Markets: All right. So again, you would say because you've kind of come out, saying hey, the border is reopening to Mexico should be a positive impact on our operating profit and is that what's, I mean you get a lot of other businesses that are offsetting that. I just want to make sure that one isolated event is actually working in your favor and it sounds like it is?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I think what we said Ken would impact the entire North American utilization which would operate in our favor and we will see obviously the numbers are reflecting that. Our North American numbers are up. You are right it could be in some other product launch that we are seeing returns across the board in our North American business.
Kenneth Zaslow - BMO Capital Markets: Great, I appreciate it.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thanks.
Operator: And next question from David Driscoll with Citi Investment.
David Driscoll - Citigroup: Great, thanks for taking my follow up. Can you guys comment on whether or not you have hedged any of your corn requirements in the international markets? I know Sam that normally I don't think you do, but just given the extraordinary moving corn prices in a relatively short period, I am curious if any of the international markets had hedged their corn inputs?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Just where we have fixed prices Dave. If we have a fixed price contract for a extended period of time, we would normally hedge that contract, Mexico being a prime example of it. Obviously, Canada is part of the North American piece of it, but rest of the world, as we've said right along, is generally spot to quarterly to monthly kind of business and that we do not hedge.
David Driscoll - Citigroup: Okay, and my second question pieces on Mexico. I think actually in one of your responses, just a moment ago you said that the volumes in your Mexican business are at their best level ever. So I think in response to may be a whole bunch of questions that has been going on here that if I heard you right on what you're really saying is that despite an open border, you are selling everything that you can make down there. Is that true?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes, what we have made, obviously we are bringing products in from the U.S. and from Canada for that matter, so we certainly are selling everything we can make in Mexico. What I think I said before is the volumes going in are reflective of what we thought they would be short of the fact that we had a little bit of a volume shortfall that we talked about in our numbers, but the volumes going into Mexico where we want them to be right now.
David Driscoll - Citigroup: Okay and then one more question. I've always had this impression that prices in Mexico were above that of U.S. prices and that opening the border, we might see some pressure on prices in Mexico as some of your competitors may be tried to arbitrage the price differential on those markets. Is that... is my base premise here accurate and is it happening right now?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: The pricing in Mexico is pretty much annualized also for the larger account, obviously and I think what we have seen in Mexico is some impact on pricing, but we expected that. We talked about it before and what we're looking at as we go forward is a continuation of a new level of pricing in Mexico which is reflected in the numbers that we have right now.
David Driscoll - Citigroup: Okay so then back to kind of the big picture that you are seeing the benefits outweigh the negative in the entire North American geography?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I'm sorry David, could you repeat that?
David Driscoll - Citigroup: You are seeing the benefits in North American in its entirety, kind of U.S and Canada outweigh the negatives of may be some lower prices in Mexico because of the new competition. Is that a fair statement?
Cheryl K. Beebe - Vice President and Chief Financial Officer: Dave I would say the competition is from AEM and Cargill is lesser than issue versus the competition from sugar.
David Driscoll - Citigroup: In Mexico?
Cheryl K. Beebe - Vice President and Chief Financial Officer: In Mexico and it is the pricing of sugar versus high fructose 55 that becomes the issue?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: But, the answer to... the specific answer to the question is North America in its entirety, is covering any shortfall we have, any place in North America, Mexico specifically, your answer to your question, but what we've seen is growth in the North American business that's reflected in the report, that is across the entire gamut of our product lines in North America, yes.
David Driscoll - Citigroup: One more big picture question, in the past you wanted to comment on this and I'd love to hear your thoughts on the corn market right now. I know this is a heck of a question here, but we do have all time record prices in corn. Is your opinion here that this market has overshot, you expect this thing to weaken, I mean, the corn market, kind of pretty bad yesterday?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: David, I don't even know, I don't know how to answer that question. I think that, I am still of the mindset that if in fact we get reasonable whether that there will be more corn planted, than has been stated. But I have been out there on that one and I think you've been out there on that one for a while. I don't know what it's going to do. I really don't. I mean, I think that it's overboard right now, but the numbers are higher than they need to be. All the commodities are pushing for acreage at the moment. The... obviously, soy got more and the report that came out on March 31st, there are a number of people that are saying that it was a result of the higher corn numbers, and that we have decent weather in the growing area. We might see more corn planted than was originally forecasted, if that happens, I think you're going to see a dropdown in the corn number, but I mean, I really don't know. I don't know whether it's going to be $6, $5, $4 or $8. And that's sound like a pretty stupid answer, but it's the best I have right now.
David Driscoll - Citigroup: Last question would be, is there any update on the search process ongoing for your successor?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It's ongoing; the search is in fact going on right now and stay tuned, we don't have anybody that we are ready to announce at the moment, but the board is working it, the search firm is working it and it's in progress.
David Driscoll - Citigroup: Great, thanks a lot everyone.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you much. Operator, we have time for one more question, if there is time, because we do want to shut this down after half hour.
Operator: Okay, we will hear from Megan Davis [ph] with Morgan Stanley.
Unidentified Analyst: Good morning everyone. I work with Vincent Andrews.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Hi Megan.
Unidentified Analyst: One question. How... just some more color on, how the change in government policy in South Korea which now as for the use of GMO corn and food. How has that affected the cost side of your business?
Cheryl K. Beebe - Vice President and Chief Financial Officer: It hasn't gone through. The GMO is scheduled for the second quarter. It's not an impact in the first quarter.
Unidentified Analyst: Okay and then also on co-products pricing. Where do we stand with the EU approval process in terms of taking new GMO corn chains and any concern that you have like an interruption that we had last year?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: There is no change from where it's been over the last few months, Megan and we don't... we are not forecasting anything like what happened last year. But we didn't... we were aware of last year's possibility of it happening and then it did. There is nothing that I am aware of right now on the horizon that would say the same thing would occur this year. But every year we have issues with the EU, so I wouldn't put it past that we just don't see it, it's not happening right now. And as per Cheryl's comment we respect to the GMO corn, we had announced a while back that we were looking to that as one option to help hopefully reduce our overall corn price, but it is not factorized as yet. Because the Cheryl said, it's not going to happen until latter in the second quarter.
Unidentified Analyst: Okay and then last question, you bought a lot of stock back in the back half of last year, just wondering why you didn't this quarter.
Cheryl K. Beebe - Vice President and Chief Financial Officer: We were being prudent, waiting to see how the markets were going to react relative to energy and corn. We expected to actually use our cash flow for working capital as opposed to having a positive generation.
Unidentified Analyst: Okay, great. Thank you.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you very much.
David Prichard - Vice President of Investor Relations: Okay, operator. With that, I think our time has expired and because of that we will go ahead now and conclude this conference call and our webcast and a thank you to Sam and Cheryl for leading this morning's call. Again, as a reminder, there is replay of this webcast, and that's through our website at www.cornproducts.com. You can also listen to a replay audio wise, and that's available through Friday, May 2nd. And the numbers for that audio replay is 719-457-0820 and there is a passcode of 2471554. With that we'd like to all thank you for participating in our first quarter conference call this morning. We will talk to you again in late July with our 2008 second quarter and first half results. Have a good day.
Operator: And that will conclude today's call. We thank you for your participation.